Operator: I will now hand the conference over to Mr. Michael Snyder. Please go ahead, sir.
Michael Snyder: Thank you, Sara and good morning everyone. Welcome to our third quarter conference call. My name is Mike Snyder and I'm the Director of Investor Relations for Koppers. At this time, each of you should have received a copy of our press release. If you haven't, one is available on our website or you can call Rose Helenski at 412-227-2444 and we can either fax or e-mail you a copy. Before we get started, I'd like to remind all of you that certain comments made during this conference call may be characterized as forward looking under the Private Securities Litigation Reform Act of 1995. These forward-looking statements may be affected by certain risks and uncertainties, including risks described in the company's filings with the Securities and Exchange Commission. In light of the significant uncertainties inherent in the forward-looking statements included in the company's comments, you should not regard the inclusion of such information as a representation that its objectives, plans and projected results will be achieved. The company's actual results could differ materially from such forward-looking statements. I'm joined on this morning's call by Walt Turner, President and CEO of Koppers and Leroy Ball, who joined Koppers on September 1st as our new Chief Financial Officer. At this time I'd like to turn over the call to Walt Turner. Walt?
Walt Turner: Thank you, Mike. And welcome, everyone to our 2010 third quarter conference call. Before we discuss the results for the quarter, I'd like to say that the company continues to perform well, despite the global economic downturn we've been experiencing for the last two years. Earlier in the year, we identified $140 million of revenue growth from acquisitions, new products and increased market share in our core products. Through the end of the third quarter, we are well on our way to achieving this goal in revenue growth for 2010. The increased revenues are from our new petroleum pitch products, the acquisition of Cindu Chemicals in the Netherlands, increased pitch volumes to the new smelters in the Middle East and two acquisitions for additional services to the railroad industry. Our revenues through September have increased by 10%, compared to the same period in 2009, despite continued weak demand in the global economy. When the global economy does return to normalized levels, we think we'll be in a strong position, competitively and financially to further grow our revenues and profitability, both organically and through M&A. In regard to our third-quarter results, I was very pleased to see revenues for our Global Carbon Materials and Chemicals business grow by 26% over the prior year quarter, benefitting from European consolidation, new products and improved end markets. End markets for Carbon Materials and Chemicals in the U.S., in Europe and Australia continued to show stability and our Middle Eastern markets continue to show growth in our carbon pitch and naphthalene products. Steel production increased 19% globally year-over-year through September and 50% in the U.S., which has provided us with excess tar supplies for raw material needs. Related increases in electric arc steel production have also added increased volumes of our carbon pitch and petroleum pitches, as both products are used in the manufacturing of the electrodes consumed in the electric arc furnaces, for example, one of the largest U.S. electric arc furnace producers, reporting capacity utilization of 71% in the first nine months of 2010 up from 53% in the first nine months of 2009. In regard to the global aluminum industry, recent projections show the growth rate for global aluminum consumption at 13% for this year and the LME cash price for aluminum ingot has increased by 18% from July to October, which we view as positive signs. The projected increases in production through 2013 amount to about 8 million tons, of which about 1 million tons is expected to be supplied by the Middle East smelters. Our expectation is that a portion of this new production will need to come from restarts of idle capacity around the world and Koppers is well positioned to supply this increased pitch demand over the next three years and beyond. Our pitch volumes were up 48% over the prior-year quarter, despite a much smaller increase in pitch demand for the global aluminum industry. The increased volumes were primarily from Middle East smelters and from our acquisition in the Netherlands. We believe we have gained market share in our pitch product in continental Europe and the Middle East. Furthermore, our petroleum pitch products, going into the target shooting and electrode impregnation markets have grown to become the number one supplier in North America. Our phthalic anhydride business continued to provide increased profitability as volumes and prices were up by 33% and 9% respectively over the prior-year quarter, as improvement in the auto markets in the U.S. combined with higher market shares resulted in higher volumes for us. The U.S. automotive production through September was up nearly 50% over the prior year and in one of the key end markets, drivers – which is one of the key end markets for phthalic anhydride. The average price for orthoxylene, which drives phthalate pricing, increased by 10% for the third quarter compared to the prior-year quarter, partly as a result of higher crude oil prices. For our railroad and utility products business, higher sales volumes of untreated crosstie sales were offset by lower treating services in the third quarter, compared to last year's quarter, which resulted in lower margins due to product mix impact, as sales of untreated crossties tend to have lower margins than the treating services. As of September 30th, untreated crossties on hand at our plants were down about 22% from prior-year levels. The positive news here is that tie insertions for the year are expected to be in the $19.5 million range, the same insertion level as last year. And the projected insertions should continue at this level or higher for next year. As we mentioned during our last call, the rail industry purchased about $21 million ties last year with a tie insertion rate of $19.5 million ties. Untreated tie procurement for the industry will decrease to about $16.5 million ties this year, reducing inventories to lower than normal levels. As a result, we have already seen increased buying patterns by the Class 1 customers. Although, this is the lower margin part of the railroad business, it should bode well for the higher margin treating services in 2011. We continue to purchase over 38% of the total ties procured in this industry. We also continue to see improvement in the commercial crosstie market, as volumes were up 44% for the quarter, over the prior year quarter. However, this increase was largely offset by reductions in volumes of treated crossties by our Class 1 customers as a part of the inventory reductions as noted earlier. With rail freight up – volume up over 12% this year to date over the last year to date, combined with lower-than-normal crosstie inventories, the railroad industry is showing signs of another strong tie insertion program next year. After Leroy completes the financial review, I'll give you a status update on our core end markets, as well as provide some insight into what we are expecting as we move towards 2011. Leroy?
Leroy Ball: Thanks, Walt. On a consolidated basis, sales for the third quarter increased 16% compared to the prior year quarter and higher sales for carbon materials and chemicals were partially offset by lower sales for railroad and utility products. As the railroad business declined over the prior-year quarter with the reduction being driven by reduced demand for treated crossties and treating services from the Class 1 railroads, carbon materials and chemicals sales were driven higher by increases in volumes for carbon pitch and phthalic anhydride, higher prices for products linked to oil and incremental sales from our acquisition in the Netherlands. Looking at the carbon materials and chemicals business a little closely, third quarter sales increased 26% to $218.4 million in carbon materials and chemicals compared to the prior year quarter, due to higher volumes for carbon pitch coupled with higher prices for naphthalene, carbon black feedstock and phthalic anhydride, as well as the acquisition in the Netherlands. Carbon pitch volumes increased in all geographic areas, due mainly to higher volume sold into the Middle East and the acquisition in the Netherlands. In the third quarter, we saw positive growth, year-over-year, in the three main components of our CM&C business. The carbon materials piece of the CM&C business had a 13% or $21.9 million increase in sales, as higher volumes, primarily from our Chinese operations to new aluminum smelters in the Middle East, were partially offset by lower carbon pitch prices. Sell in [ph] which includes third party creosote sales and carbon black feedstock increased 5% or $8.3 million due to both higher volume and higher average prices. The March 2010 acquisition in the Netherlands contributed significantly to the overall $6.5 million volume increase of distillate sales, while higher benchmark pricing for carbon black feedstock was the main contributor to the $2.3 million positive price impact for this product group. The third main component, coal tar chemicals, increased 6% or $11.3 million as both phthalic anhydride volumes and prices improved. We experienced a 33% increase in sales volumes with phthalic anhydride in the third quarter, which reflected improved end-market demand for the automotive markets in the U.S. The impact of higher average prices for phthalates as compared to the prior-year quarter, mainly driven by higher oil prices amounted to $2.4 million. After increasing to $0.49 a pound in October from $0.455 in September, orthoxylene prices have recently increased again to $0.51 a pound for November. Carbon materials and chemicals operating profit for the quarter of $26.1 million increased 10% from $23.8 million in the third quarter of 2009. Operating profit dollars were positively impacted by higher prices for carbon black feedstock and higher prices and volumes for phthalic anhydride. As mentioned earlier, third quarter carbon pitch volumes from our Chinese operations increased significantly from the third quarter of 2009. However, these higher volumes did not provide a significant profit contribution due to continuing high Chinese tar prices and excess supplies of carbon pitch in Asia that have continued to challenge market prices. However, we are beginning to see some modest price increases in this market and we are encouraged by the increases in electric arc steel production in Japan, which has continued to increase over 2009 levels. We believe the reduced production of electrodes in Japan has contributed to excess pitch supplies, as Japanese electrodes utilize coal tar based needle coke. In the meantime, we continue to manage this situation very carefully. Our new facility in the Netherlands that was acquired on March 1st contributed $14 million in revenue for the quarter. You may recall that as part of the acquisition, we announced in the second quarter the ceasing of tar distillation at our U.K. plant in Scunthorpe, redirecting this production to our other U.K. plants and to our new plant in the Netherlands. Well, we begun that process in August and that along with other improvements brought about through the continuing integration of those operations helped contribute to a third quarter EBITDA of $1 million for Koppers Netherlands. We anticipate profitability continuing to improve for the Netherlands operation, as we move into the fourth quarter and next year and couldn't be more pleased with how this integration has progressed and the results we've seen from it thus far. We are on schedule for completing the transfer of specialty products from Scunthorpe in the fourth quarter of this year. Overall, carbon materials and chemical sales in the third quarter were not significantly impacted by foreign currency exchange rates as compared to the prior year, as weaker currencies in Europe were largely offset by the stronger Australian dollar. Average oil prices for the third quarter of 2010 were about $75 a barrel, compared to about $68 a barrel in the third quarter of 2009. This has led to higher benchmark pricing for our carbon black feedstock and should continue to provide upside for pricing. As noted in previous calls, beginning in early March our carbon black plant in Australia had been having operating issues related to its boiler. This had a negative impact on the third quarter of about $300,000. The operations at the plant have been addressed and the plant has been operating at full capacity since early August. Now, moving on to railroad and utility products. Sales of railroad and utility products increased $1.2 million to $117.9 million in the third quarter compared to the third quarter of 2009. Higher volumes of untreated crossties for the Class 1 railroads were largely offset by lower volumes in treating services. As mentioned previously, the Class 1 railroads have been reducing existing inventories on hand for most of this year and are only recently beginning to restock untreated tie inventories to move towards normalized levels. The reduction in treating services by the Class 1's impacted profitability in the quarter, as operating profits climbed from $10 million to $7.7 million with operating margins at 6.5% compared to 8.6% in the prior-year quarter, due to the mix impact of higher volumes at lower margin untreated ties, compared to reduced volumes at higher margin treating services. Looking at consolidated results, 2010 third quarter adjusted EBITDA was $40.5 million or $1.1 million higher than 2009 third quarter adjusted EBITDA of $39.4 million. We remain pleased with the fundamental improvement in our CM&C business that was unfortunately offset by the negative mix impact in our R&UP business. I'd like to spend a few minutes reviewing our income tax provisions for both the third quarter of 2009 and 2010, since that line item had such a large impact on the comparability of the two periods. Both periods were affected by changes in estimates of our year-to-date and full-year effective income tax rate, in addition to approximately $300,000 of the three tax item adjustments. While the effect of those changes in estimates had on the year to date effective income tax rate for those periods were not that all significant, the impact of applying those new effective income tax rates to the year to date pre-tax earnings, resulted in a catch-up entry for incomes taxes that had a much more pronounced impact on the quarterly tax provisions and the resulting rates. In fact, this quarter's comparison saw that catch-up entry going off in this direction for the 2010 and 2009 third quarter tax provisions. In the third quarter of 2010, we recorded a tax provision of $11.1 million, which equates to a percentage of pre-tax earnings of approximately 41.3%, while in comparison our 2010 year-to-date percentage only increased 1.8% percentage points to 38.8%, from our June 2010 year-to-date reported results. The primary reason for the rate increasing from our estimates at the end of June was a shift in the mix of our earnings from lower tax rate jurisdictions to higher rate tax jurisdictions. The negative effect of the increase on estimated taxes for the quarter was approximately $1.2 million or $0.06 per diluted share. In 2009 third quarter, we reported a tax provision of $5.8 million, which equates to an effective income tax rate of approximately 25.3%. Primary reason for the abnormally lower rate was a decision during that quarter to not repatriate cash from Europe to the U.S., the negative effect of which was previously included in the prior 2009 period effective income tax rate calculation. The positive effect of the decreased rate on the third quarter of 2009 was approximately $3.6 million or $0.18 per diluted share. Adjusted net income for the third quarter of 2010 was $15.6 million or $0.75 per share, compared to adjusted net income for the third quarter of 2009 of $16.6 million or $0.81 per diluted share. As previously mentioned, the main drivers contributing to the $1 million difference in earnings between quarters were the supply demand dynamics in our China and Middle East business, the lower profitability or our railroad business brought on the Class 1 railroads changing their buying habits in the short term to conserve working capital and the significant difference that the change in effective tax rates for the two periods had on our fully tax rate. Partially offsetting those negative effects for the quarter over a quarter improvement in our CM&C business in North America and Australia. Cash from operations has remained strong and amounted to $64 million for the first nine months of the year, compared to $93 million for the prior year with the difference due mainly to an increase in trade receivables and higher revenues. Out debt net of cash on hand at September 30th, 2010 improved to $263 million compared to $277 million at December 31, 2009. And this was after $20 million of acquisition expenditures in 2010. As of September 30th, we have no balance on our revolver, no debt maturities until 2019 and we have total estimated liquidity of $285 million. We believe our current financial position is the strongest it has been in our 21-year history. Before I turn it back over to Walt, I would like to emphasize that our business is seasonally impacted by demand for our products. Financial performance in the first and fourth quarters tends to be similar and is historically lower in the second and third quarters. While there are signs that 2011 will see some margin recovery as certain issues get solve for resolution, we do not expect any fundamental changes in our business during the fourth quarter that would indicate it will trend any differently than our prior three quarters on a year-over-year basis. At this time, I will turn it back over to Walt.
Walt Turner: All right. Thank you, Leroy. Our two business segments, carbon materials and chemicals and railroad and utility products are about 60% and 40% respectively of our total revenues. The carbon materials and chemicals segment is closely tied to the production of steel and aluminum. As you may recall, we use a byproduct of the metallurgical coke making process, coal tar, as our primary raw material to produce carbon pitch for the aluminum industry, carbon black feedstock for the rubber market and naphthalene as feedstocks for concrete additives, as well as further processing in the phthalic anhydride for the plastics and resin markets. During 2010, we have seen increases in global steel and coke productions that have led to increases in coal tar availability in the regions where we operate. As mentioned earlier, the electric arc steel furnaces have been increasing production, which not only helps our carbon pitch and petroleum pitch businesses but also could absorb some of the excess carbon pitch from Asia and hopefully restore product pricing to more normalized levels in those areas. The Middle East aluminum production continues to come online as scheduled. Currently, the Sohar smelter in Oman is at full capacity and is currently conducting a feasibility study to double their 360,000 ton capacity location. The EMAL smelter in Abu Dhabi is expected to be at full capacity in the fourth quarter of this year and the Qatalum smelter in Qatar is expected to be at full capacity during the first quarter of 2011. The current production capacity for these smelters is 1 million tons, which requires 100,000 tons of carbon pitch. The fourth construction project, the Ma'aden smelter in Saudi Arabia has broken ground on its 740,000 ton smelter. The carbon plant was scheduled to start up in the fourth quarter of 2012 with an annual carbon requirements of 70,000 tons per year. This is a project in which Alcoa has a 20% interest. As mentioned on our last call, during 2009 and 2010, we took advantage of market conditions and expanded our market shares for carbon pitch in the Middle East and in Europe, as well as with petroleum pitch in North America. We continue to be the global market leader in tar distillation and related products and believe this increase in market shares will be beneficial to us this year and beyond. We are confident in the longer-term growth of global aluminum production and believe that we will emerge in a strong position to capitalize on this growth. Recent projections indicate that global aluminum consumption will increase by $10 million tons over the next three years, increasing from $39 million tons in 2010 to $49 million tons in 2013. Using a ratio of 1 ton of carbon pitch for every 10 tons of aluminum produced, this means an additional 1 million tons of carbon pitch will be required to meet this projected increase in demand. To put this in context, as the largest global producer of carbon pitch, our total production capacity is about $1.2 million tons of carbon pitch. So we believe there is an opportunity for volume growth with existing capacity as well as growth through new distillation capacity when needed. We fully expect to participate in the growth in this carbon pitch demand and we believe we are well positioned to capture more than our customer market share. Our position in China has provided a base from which we are capturing business from increased smelting in the Middle East, but is estimated to be producing 10% of the world's aluminum by 2012, up from 4% in 2007. In late 2009, we began our initial shipments of carbon pitch to the new smelters in Qatar and Abu Dhabi and this has continued through 2010, boosting our carbon pitch volumes to the point that they are – more than make up for the temporary loss of volumes in North America and Europe during 2009, due to idle smelters. In Europe, the acquisition in the Netherlands has improved our market share in Europe and has provided an easier access to export markets from that location. We are optimizing our European operations, as a part of our synergies and have ceased distillation in our Scunthorpe facility in the U.K. in September in order to increase capacity utilization at our other European facilities. We’re also beginning to benefit from savings related to product consolidation, logistic efficiencies and shared services there as well. With the expanding global aluminum industry in the Middle East, India, China and other emerging economies, our large global presence will continue to be a key to future success in the carbon materials and chemicals business. Regarding our railroad and utility products business, maintaining the real structure of the Class 1's is a necessity, especially with the revenue base increasing as a result of higher car loadings. We are confident that with our multiple wood treated locations, that are online with the Class 1 customers, coupled with our market shares, we will continue the benefit from increases in capital spending by the railroads going forward. Looking ahead to 2011, as the global economy recovers, returns demand – recovery returns demand to normalized levels, we see the potential for tangible volume improvements in our carbon materials and chemicals products around the world that should drive profitability to higher levels, as demand and capacity utilization levels increase. In addition to our carbon pitch product, we believe that a recovery in the global economy will result in increased demand for our profitable downstream products, carbon black feedstocks and naphthalene. These products should benefit from increases in the production of rubber for the tire industry and concrete for the construction industry, as Asian economies continue to generate higher growth rates. We also expect improvement in the market conditions in China and the Middle East that should improve profitability for our pitch products. We are encouraged with the LME ingot aluminum pricing, increasing significantly over the past three months and the consumption of aluminum projected to increase by $10 million tons over the next three years. For the railroad business, we expect high insertions to continue at current or even higher levels in 2011, as the U.S. economy rebounds. Additionally, untreated crosstie procurement must increase to sustain these projected insertion levels. We believe this view is supported by the fact that our untreated crosstie inventories are down from year-end 2009 and are at the lowest levels we've seen in years. Untreated tie production appears to have reached a bottom and has been increasing in recent months. We anticipate that our fourth quarter untreated tie volumes will be higher than our last year's fourth quarter volumes. Another area that should contribute to a better year in 2011 for the railroad business is the addition of the borate treatment with our existing creosote preservative. The borate treatment will be used for crossties that are installed in the southern regions of the U.S. where wet swampy conditions result in a faster deterioration of the ties. The borate treatment, combined with our creosote, is expected to extend the life of these ties. This additional treatment of crossties should result in higher revenues and we believe that our borate treatment process favorably differentiates us from our competitors and further improves our long-term relationships with the Class 1 railroads. Include, we continue to experience increased stability in our end markets as the global economy stabilizes and we remain very positive about the long-term strength of our primary end markets, aluminum and railroads as we move forward towards an expected stronger year in 2011. Aluminum consumption is projected to increase by $10 million metric tons over the next three years and total railroad crosstie insertions are projected to remain steady at nearly $20 million ties. We will continue to focus on our cash flows, retaining expense reductions, reducing raw material costs and growing our market shares to position the company as the global economy continues to rebound. We continue to look for consolidation opportunities in highly accretive acquisitions and we believe we are well positioned to successfully execute our fundamental strategy. As an example, we recently acquired the refined tar business of Stella-Jones located in Terra Haute, Indiana, which was expected to lay out about $5 million of annual revenues for the carbon materials and chemicals business next year. With our financial strength, we have several avenues available to create shareholder value. We do understand the benefits of shareholders of dividends and share repurchases and these items are discussed every quarter by our board of directors. However, in the current environment, we are finding that there are – may be opportunities to deploy capital for growth and we want to be able to capitalize on such opportunities should they occur. At this time, I would like to ask for any questions that you may have. Sara?
Operator: Thank you, sir. (Operator Instructions) Thank you. Our next question comes from Steve Schwartz from First Analysis. Please go ahead with your question.
Steve Schwartz – First Analysis: Hi, good morning, guys.
Walt Turner: Good morning, Steve. How are you?
Steve Schwartz – First Analysis: Good. Thanks. I guess my first question is this, as aluminum continues to recover, the outlook from suppliers to the steel industry are saying that production there, at least in western steel production could decline as we go through 4Q and into 1Q. Are we at a point where you will again see a shortage of coal tar to the point that it could be an issue for you?
Walt Turner: Steve, I don't think, looking for that fact, I'm reading, I'm sure, similar information that you're reading as well, where in North America's steel production is weakening a little bit. Even with that, as you probably heard me say before, the North American steel industry is short of coke when it comes to full capacity. So if they're down in the 70% range, I don't think that's going to impact coke production that much here. And Western Europe, again when we look at tar available, it's not just Western Europe, it included Russia, Ukraine and other countries. At this point, I do not see any issues with tar availability, even with – hopefully with idle aluminum capacity coming back overtime. And as you recall, we also have the ability to supply very good quality binder pitches to the aluminum industry by utilizing certain petroleum feedstocks, if it's needed to do so because of the tar issue. But, no I don't see an issue at this point.
Steve Schwartz – First Analysis: Okay. It sounds good. And then just as a follow-up question on the railroad business, I think Leroy, you mentioned commercial tie sales were up 44% year over year and I know the comp is pretty weak, but that commercial business has historically been a pretty good margin business for you. Can you give us an idea of where that sits in relation to tie treating, the TSO and the white tie and why that commercial business wouldn't have helped offset the weakness in TSO business?
Walt Turner: Well, Steve, I'll take a stab at it first anyway. Yes, I mean when we looked at the first nine months, we did see commercial sales up 44% over prior year. But again, you have to remember where we started from because 2008 we started to see a slowdown in the commercial business, which is primarily to the short lines and contractors on projects, what have you. So the 44% was not a significant increase when you look at the volumes that we are comparing it to, but it was a stronger year and yes, we certainly enjoyed that. In regard to margins, because of the commercial sales being at lower volumes, we have seen some margin deterioration there and – but again, with the – I'll call it a fairly large reduction on the Class 1's, no way was it going to be offset with the reductions on the treating services and what have you. But again, as we mentioned, we have not seen both treated or untreated tie inventories as low as they currently are for several years and I can tell you, starting with end of September, October that we were seeing an immediate change in the procurement habits of the Class 1's.
Steve Schwartz – First Analysis: Okay. Great. Thanks for the color, Walt.
Walt Turner: Sure.
Operator: Thank you. Our next question comes from Ivan Marcuse from Northcoast Research. Please proceed with your question.
Ivan Marcuse – Northcoast Research: Hey, guys, how you doing? If you look at 2008 carbon pitch shipments, are you still down going in now, versus that time period or, on a percentage basis, where are you with all in with the acquisition in the Middle East shipments and everything?
Walt Turner: Ivan, I don't have the 2008 numbers with me. Obviously, we started the shipments in the Middle East in 2007, as we mentioned and 2008 the first nine months were very strong. But I don't have the actual 2008 numbers. I can tell you that when you look at our total pitch volumes, year-to-date, '10 versus '09 obviously we're over 32% on a year-to-date basis above last year. But we'd have to back, I think with the – including the petroleum pitch business that we've picked up this year, which year-to-date has doubled, the volume has doubled this year versus last year, we're probably at or exceeding the 2008 volumes. So we'd have to look and get back to you.
Ivan Marcuse – Northcoast Research: All right. Great. And then another question is you talked about in the release about having to protect some market share in the Middle East, presumably through pricing that's impacting the possibility in China, how is pricing – how does the price dynamics work in the Middle – with the Middle East and others, is it similar to where you have long term contracts or is it more of a spot business? And if it's long term contracts, when could you – when supply gets sort of more in balance with demand, what – can you go back to the table to renegotiate that or is that a couple years down the road or how does that whole dynamic sort of work?
Walt Turner: Typically, Ivan these are long-term contracts, like other parts of the world in which we participate. The big difference, however most of our contracts include pricing formulas, which are basically semiannual or annual changes. But in the Middle East, even though it's a long-term contract, we sit down on a quarterly basis and negotiate the price for that upcoming quarter. And as you've seen and heard us talk with the additional tar supplies in Asia, Japan, Korea primarily, there has been an excess of coal tar due to the lower production of needle cokes, which when you have a surplus, there's been some deterioration in the pricing there, coupled with China continues to have a fairly large tar cost for us
Ivan Marcuse – Northcoast Research: Okay. And then your raw material bill was it up year-over-year or was if flat, total raw materials in the chemical business, I guess looking just specifically at coal tar?
Walt Turner: Looking specifically at coal tar…
Ivan Marcuse – Northcoast Research: On a kind of global basis?
Walt Turner: I think it was either at – at the – basically it was at the same level as 2009, year-to- date.
Ivan Marcuse – Northcoast Research: Okay. And then two quick questions, I think you talked about it, I missed it, what is the tax rate that you’re looking for, what kind of tax rates should we use in the fourth quarter?
Leroy Ball: I would say between 38% and 39%.
Ivan Marcuse – Northcoast Research: Okay. And then interest expense, about 66 [ph] is – there is nothing in there that should be pretty much – should that – where it is right now that should be it for going forward, right?
Leroy Ball: That’s it. We wouldn’t expect it to really change.
Ivan Marcuse – Northcoast Research: Okay. Great. Thanks for taking my questions.
Leroy Ball: You’re welcome.
Operator: Thank you. Your next question comes from Douglas Chudy from KeyBanc Capital Markets. Please proceed with your question.
Douglas Chudy – KeyBanc Capital Markets: Hi, good morning.
Walt Turner: Good morning.
Douglas Chudy – KeyBanc Capital Markets: First, you noted an expectation of some idle smelters to be restarted over time here to support growing global demand. Are you hearing anything – any indications from customers in North America or Europe that restarts could be on the horizon?
Walt Turner: Unfortunately, not yet. The comment is really based on looking at the consumption of metal increasing by 10 million tons from 39 million this year to 49 million in 2013 and when you look at the new projects around the world, primarily the Middle East, that’s not going to be enough to really meet this projected consumption. So, it leads you to believe, obviously, that there’s got to be idle smelters restarting somewhere down the road here shortly, but we’ve not heard of anything yet. And as you recall, it takes a minimum of three years, in most cases four years, from the time you start talking about building a smelter, to complete it. And the only areas that we know of at the moment, as far as new capacity, would be the Madin project, which is scheduled to smelt a little bit, I think in the first quarter of 2013 and then the Sohar project which, again, this was a feasibility study, but it would probably go much faster than a completely new Greenfield project where they could double their size from 360,000 tons to 720,000 tons in a matter of – I am guessing her, but a matter of two years or less.
Douglas Chudy – KeyBanc Capital Markets: Okay. Thank you.
Walt Turner: Yes.
Douglas Chudy – KeyBanc Capital Markets: That’s helpful. And then secondly, I mean, just to follow up a little bit here on the raw materials or the coal tar, how do you see trends in China, I guess, trending here over the next couple of quarters. Do you expect to see any moderation on that front that seems to have been a headwind lately?
Walt Turner: It has been a headwind and it’s probably too early to talk about what’s going to happen with the – China’s tar pricing in 2011. But, again, in China, the demand for coal tar is not just for distillation, it’s used as a fuel, it’s used as a carbon black feedstock in certain cases, so there’s more pressure, more demand for the coal tar, where we’re hoping we see some reductions there. Fortunately, there is a strong continuing growth in the demand for the carbon black feedstocks and the naphthalene, which we enjoy. But it’s too early to comment about the pricing for next year.
Douglas Chudy – KeyBanc Capital Markets: All right. Thanks, guys.
Operator: Thank you. Our next question comes from Daniel Rizzo from Sidoti & Company. Please proceed with your question.
Daniel Rizzo – Sidoti & Company: Hey, guys. I am glad things are going well with your plant in the Netherlands. Are you looking to make perhaps – build more plants or just make more acquisitions in the region to service the Middle East?
Walt Turner: Well, consolidation is our middle name, we enjoy that. But, no, it’s – the Netherlands has gone well. And it’s because of the management team that we have there. And we are fortunately having synergies that we knew going into this acquisition, with the closing of the distillation facility at Scunthorpe and then adding several other synergies there. So we are very pleased with it. So thank you for that. No, if there are opportunities to further improve on our – and increase our tar distillation where it makes sense, we obviously want to be there. But we do continually look at areas in which it would make sense for Koppers to further make acquisitions in the coal tar area. I mean, this is a industry that we are committed to, dedicated to and want to continue to grow in the right way.
Daniel Rizzo – Sidoti & Company: Okay. And then I was looking at capital expenditures, it looks like it’s going to be – I mean, correct me if I am wrong, it’s coming around somewhere around $20 million, $21 million for the year, is that accurate or is it like…
Walt Turner: Well, through nine months we’ve spent, I think, close to $14 million in capital this year, which is slightly less than what our program was, but I’m guessing we’re probably going to end up in the $24 million, $25 million range. We do have several large projects, which are now under way and I mean, that seems like a lot, in the next eight weeks. But it just depends how quickly we can implement some of the projects that are being started at this point.
Daniel Rizzo – Sidoti & Company: And at $24 million, $25 million, I don’t know, is that something we can kind of – I mean, without really looking too far, is that something we can expect going forward like into 2011?
Walt Turner: Yes, I mean, if you take out any type of capital for acquisitions, I think $24 million; $25 million would be a good number to use for sort of ongoing maintenance, productivity and environmental spending.
Daniel Rizzo – Sidoti & Company: Okay. Thanks, guys.
Operator: Thank you. Our next question comes from Chris Shaw from Winnis Christy. Please proceed with your question.
Chris Shaw – Winnis Christy: Yes. Good morning, guys, how are you doing?
Walt Turner: Good morning, Chris.
Chris Shaw – Winnis Christy: I think Cindu or the Koppers Netherlands, you mentioned you earned about a million dollars of EBITDA for the quarter, right?
Walt Turner: Right.
Chris Shaw – Winnis Christy: How quick can you get that – I think that those maybe around $60 million in sales annually. How quick can you get out to more segment-like margins?
Walt Turner: Well, currently, I think our revenues for the third quarter – we could usually refer to as the Alton facility in the Netherlands, but I think our sales were $14 million for the quarter, so annualizing that is about $56 million. So that’s where – the area where that we thought we would be and I think we’ll see perhaps maybe even a little bit more down there next year. But it’s a plant that has 140,000 tons of tar distillation capacity and I can tell you everything that we wanted to do there is working well. As far as the margins, I think just with the improvements – let me put it this way, just with the consolidation of distillation, we’re going to see some benefits from that, but I can’t really give you a number at this point.
Chris Shaw – Winnis Christy: That, in fact, should be starting to see sales in the fourth quarter?
Walt Turner: In the fourth quarter you should start to see the benefits of those synergies and more so, hopefully first quarter of 2011 you’ll see full synergy
Leroy Ball: It will be a ramp-up.
Chris Shaw – Winnis Christy: Okay. And then just a quick – what’s sort of your – and you said you had that 1.2 million capacity of pitch, I mean, what’s the total utilization across your distillation facilities right now?
Walt Turner: Well, at the moment we’re – China, with our two operations there, we’re basically running pretty much at 100%. In the US with the help of the petroleum pitches we’re producing, we’re in the 70% to 72% range. Australia, we would be probably close to 80%, 82% and then you look at Europe, which with the Scunthorpe closure and so forth in Netherlands, we’re looking at about a 75% operating rate. So in total, you could consider us at about 80%, so $1.6 million out of the $2.1 million numbers. So that gives us about 200 – actually 200,000 tons of additional pitch that we could sell whenever these smelters restart.
Chris Shaw – Winnis Christy: Right. That’s what I was trying to get at. And then, just finally, China and the Middle East, I mean, are you losing money there right now on these sales, or you just – is it just flat?
Leroy Ball: I would say that right now it’s fairly close to break-even at this point.
Chris Shaw – Winnis Christy: And then do you know is – are the Japanese, do you think, are they selling at losses or do they have – are their sources of coal tar cheaper? I don’t know how they – how they operate, actually?
Walt Turner: I don’t know what their coal tar prices would be, but when they – I am sure when they would compare what they’re doing in the pitch market versus what they are doing in the needle coke market; there’s definitely a big difference, sure. But really – we really can’t comment on that.
Chris Shaw – Winnis Christy: That’s okay. All right, thanks a lot, helpful.
Walt Turner: Great. Sure. Thanks.
Operator: Thank you. Our next question comes from Laurence Alexander from Jefferies. Please proceed with your question.
Lucy Watson – Jefferies: Good morning, this is Lucy Watson on for Laurence today.
Walt Turner: Hi, Lucy.
Lucy Watson – Jefferies: At what level of aluminum utilization rates will you see more favorable curving pitch pricing dynamics globally?
Walt Turner: Well, the industry globally is operating at about 78%, I think, something like that. And as you see full production going on in the Middle East, which by first quarter next year, you’ll start to see that and it really depends upon the consumption. But I would say if you get up into the 80%, 85% range, that’s when there’s going to be perhaps a little tightness in certain regions of the world, which would take some time to adjust for the – assuming it’s a fairly fast up – ramping up of pitch demand with smelters restarting.
Lucy Watson – Jefferies: Okay. And are you expecting any departure from normal end-of-year shutdowns this year or, I think you said you expect Q4 to be roughly flat with Q1?
Walt Turner: I’m sorry, Lucy, could you please repeat the question?
Lucy Watson – Jefferies: Are you expecting any departure from normal end-of-year shutdowns this year?
Walt Turner: Seasonality? I mean, just normal seasonality, I would think would be the only way to answer that, but as Leroy mentioned earlier, when you look at our first and fourth quarters, very much seasonally, an example would be the phthalic anhydride seasonally is the lower volumes in the fourth quarter. And obviously, our refined tar sales are typically second and third quarter sales seasons. But I am not aware of any – anything else, other than just the seasonal products that we supply.
Lucy Watson – Jefferies: Okay. And just one more? How much do you expect to contribute to your pension plan this year? And I guess there is a follow-up; do you have any idea of how much of that headwind pension expense might be next year, year-over-year?
Leroy Ball: Contributions in 2011 are expected to be approximately $11 million to $12 million. Expense for this year – I don’t have the estimate of the expense in 2011 yet, but expense per – pension expense for this year is expected to be around $10 million.
Lucy Watson – Jefferies: Okay. Thank you.
Leroy Ball: You’re welcome.
Operator: Thank you. Our next question comes from Gregory Macosko from Lord Abbett. Please go ahead with your question.
Gregory Macosko – Lord Abbett: Yes. Thank you. Just one question about the rail business. I wanted to understand the volumes. You said you expect tie volumes to be $16.5 million this year or $20 million? I’m not clear on that?
Walt Turner: Okay. Just talking about the white tie procurement only, last year, 2009, the Class 1 rail or the total railroad industry purchased 21 million ties. And when you compare that 21 million ties of procurement – these are white ties versus what – there were tie insertions, which were treated ties in place, was about 19.5 million. So that was a little bit of surplus going into this year. So because of that tie – 21 million tie procurement last year, procurement of white ties this year is probably going to be in the 16.5 million ranges. So now they’ve gone too far the other way on available inventory for treating, so that’s why we’re starting to see procurement of white ties picking up already going into next year. The tie insertions have been consistent, 2008, ‘09 and this year, around 19.5 million ties. And the projections are that the insertions for 2011 will be in the 19.5 million to 20 million tie range – insertions.
Gregory Macosko – Lord Abbett: Okay. And – but that implies that the treating of the ties that you will do will go up next year or?
Walt Turner: Yes. That’s – you can easily imply that, because just to give you an example, our white tie inventory owned by the Class 1’s at our plants, in January of this year was 7.2 million ties and at the end of September they were about 5.8 million ties. So, it is abnormally low and you’re going to see that increasing rather quickly going forward. And yes, tie-treating services should go up next year.
Gregory Macosko – Lord Abbett: And, again, those – just so I understand, the treated ties, are those inventoried – are those shipped directly to the – to be – to the field?
Walt Turner: Under most conditions, once the tie is treated by us at our treating service agreements, we invoice our customers and the inventories of the treated ties vary from plant to plant, depending on the customers’ needs. But we don’t carry large inventories of treated ties. They’re typically shipped out to the field, or out to the various locations – for insertions by the railroads.
Gregory Macosko – Lord Abbett: And do they – do those tend to build up and go back and forth, up and down, in the field I mean?
Walt Turner: That’s – something I couldn’t answer. I am not sure how the railroads review their inventories. I mean, I think they’re shipping them in to projects where they know they’re going to be using them, but I wouldn’t know what they would have for inventories.
Gregory Macosko – Lord Abbett: And then finally, with regard to market share, how do you guys feel in this business? I know there’s some other smaller producers, I believe. Where – how do you stand there?
Walt Turner: In the treating of the ties for the railroad industry?
Gregory Macosko – Lord Abbett: Well, both, treating and white ties.
Walt Turner: Okay. Well, in the white tie procurement, we have a good solid 38% or higher of the total white ties procured. And on the treating side, I think our market shares are running around 55%, 56% of the treating.
Gregory Macosko – Lord Abbett: But, yes and you don’t see that changing at this point or it hasn’t changed in – over the last year or two?
Walt Turner: No. As you recall, Greg, these are – the treating sides are fairly long-term contracts. And – so you’re – it’s really requirement based. And as you heard me say about the addition of this borate treatment in conjunction with our creosote treatment, that just further allows us to do more with the Class I’s.
Gregory Macosko – Lord Abbett: Okay. Thank you.
Walt Turner: Sure.
Operator: Thank you. Our next question comes from Morris Ajzenman from Griffin Securities. Please proceed with your question.
Morris Ajzenman – Griffin Securities: Good morning.
Walt Turner: Good morning.
Morris Ajzenman – Griffin Securities: Yes. Just kind of follow up, you gave us a little granularity about the China markets, looking to the fourth quarter, maybe through the first two. What do think with Mid-East market just – we know the difficulties you encounter there, how do you see that playing out into this current quarter, any improvement, staying the same and can you kind of touch on that moving out into the first quarter of 2011?
Walt Turner: Well, really can’t comment too much. But I can tell you I – through the fourth quarter on tar pricing, we don’t see much of a change there for the balance of the year. I think we can say that we are beginning to see nothing large, but just a – some positiveness, if you will, in the pricing in the fourth quarter going into the next year. I – it’s minimal, but I think we’re starting to see some signs of going the right direction. It might take three to six months to get there, Morris, but it’s starting to turn a little bit, especially with the pitch demand, as you heard me say, increasing in the Middle East here going forward.
Morris Ajzenman – Griffin Securities: Thank you.
Walt Turner: Sure.
Operator: Thank you. Next question comes from Scott Blumenthal from Emerald Advisers. Please go ahead with your question.
Scott Blumenthal – Emerald Advisers: Good morning. Thanks for taking my question.
Walt Turner: Good morning, Scott.
Scott Blumenthal – Emerald Advisers: Walt, what percentage of your railroad customers, tie purchases would you classify as “in the south”?
Walt Turner: Okay. And you’re referring to sort of the – some of these wet areas for potential borate treatment?
Scott Blumenthal – Emerald Advisers: Correct.
Walt Turner: Yes. I’d only be guessing, Scott, but it’s probably in the 20 – 15% to 20% range. No more than 20%, but maybe closer to 15%. And this would be primarily the CSX, Norfolk Southern and a little bit of the BNSF as well. But when you look at tie insertions by the Class Is, I would say it’s – it’s going to take some time, but we’re probably looking at 10% to 15% of that volume. And what this would do, it would add – we’re not quite sure yet, but it would obviously add more life to these ties. Currently they’re getting a life of maybe five to seven years on average, compared to the 25-year life that you would see just nationally. And – so there’s been some testing done over the years and they fully expect to see the life expectancy or the efficacy of these ties with borates improving, though it’s not going to be a drastic change. And we are constantly looking at ways, working with the railroads to increase the life of the ties and this is one of those areas which we think we can do.
Scott Blumenthal – Emerald Advisers: Right. And you did mention that it would be one additional treatment process and can you give us maybe some idea as to what you think you might be able to get as a premium on those types of things in percentage terms?
Walt Turner: No, I really can’t. It’s difficult to talk about that or even more difficult to talk about the process itself. It’s a proprietary process that we’re using but we’ve had great results. And actually I think our customers are very pleased with what we’ve shown them.
Scott Blumenthal – Emerald Advisers: And I might have missed it, but did you give us an idea as to how much do you think it is going to extend the life of each tie?
Walt Turner: No, it would only be guessing. It’s definitely going to increase. It may take a few years to really see that actually happen. It’s definitely going to be an improvement. So I just can’t put a number to it at the moment.
Scott Blumenthal – Emerald Advisers: Okay. Walt, can you give us then maybe an idea as to, I know that there was previous mention of improvement in commercial tie sales. Can you talk maybe a little bit in percentage terms as to what tie pricing looks like right now and compare that maybe to where we were last year and then in 2008, when times were a little bit better?
Walt Turner: I really can’t give you specifics, but I can tell you going forward, as you can imagine, going from a 16.5 million tie procurement, you’re up to guessing a number of, let’s say, 18 million or 19 million ties. It was going to be a – obviously more competitiveness out there and it really depends how quickly the saw millers can return. But I think I can safely say that you’ll see an increase in white tie procurement because of the demand. And when we’ve seen this in the years gone by where there has been some adjustments up or down and typically going up on demand, you typically see pricing increasing with it. So, whether it’s 5% or more, I really don’t know at this point, but there is more upward pressure.
Scott Blumenthal – Emerald Advisers: Okay. Great. That’s really helpful. Thank you.
Walt Turner: Sure.
Operator: Thank you, Mr. Turner. There appears to be no questions at this time. Please continue.
Walt Turner: Thank you. All right, we really thank all of you for participating in today’s call and appreciate your continued interest in Koppers. While we believe that 2010 will overall be a fairly good year for us, given the tepid recovery in the global economy, we have reasons to believe that 2011 will show improvement. At this point, we are optimistic that 2011 will be stronger than 2010 and that it will put us on a path towards regaining the 2008 levels of profitability that we enjoyed at that time. Although some of our markets remain impacted, we do continue to see signs of stability in our aluminum and steel markets, as well as continued strong demand in our down-stream products in China and the Middle East. Our balance sheet strength continues to provide the opportunities to stimulate growth as well as create shareholder value. We will continue to operate the business and manage our capital structure in a prudent manner and we believe in the long-term strength of our end markets and our provision that we have as the market leaders. Finally, we remain firmly committed to enhancing shareholder value by executing our strategy for providing our customers with the highest quality products and services, while continuing to focus on safety, health and environmental initiatives. Thank you.
Operator: Thank you. This does conclude the Koppers Holdings Inc. third quarter 2010 earnings conference call. Thank you for your participation. You may now disconnect.